Operator: Good afternoon everyone and thank you for participating in today’s conference call to discuss NV5’s financial results for the first quarter ended March 31, 2015. Joining us today are Mr. Dickerson Wright, Chairman and CEO of NV5 Holdings, Mr. Michael Rama, CFO of NV5 Holdings and Dr. Lauren Wright, Director of Investor Relations for NV5 Holdings. I would now like to turn the call over to Lauren Wright.
Lauren Wright: Thank you, operator. Before we proceed I would like to remind everyone that this call contains forward-looking statements within the meaning of the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995, including among others, statements with respect to our abilities related to driving business development, achieving operational efficiencies, completing strategic acquisitions, expanding our backlog and achieving our 2015 guidance related to gross revenues and diluted earnings per share. The company cautions that these statements are qualified by important factors that could cause actual results to differ materially from those reflected by the forward-looking statements contained herein. Such factors include but are not limited to, changes in demand from the local and state government and private clients that we serve; general economic conditions nationally and globally and their effect on the market for our services; competitive pressures and trends in our industry and our ability to successfully compete with our competitors; changes in laws, regulations or policies; our ability to successfully execute our mergers and acquisition strategy, including the integration of new companies into the company's business; backlog cancellations and adjustments; and the risk factors set forth in the company's most recent SEC filings. All forward-looking statements are based on information available to the company on the date hereof and the company assumes no obligations to update such statements except as required by law. I would like to remind everyone that this call will be available for replay through May 19, 2015, starting at 7:30 PM Eastern tonight. A webcast replay will also be available via the link provided in today's press release and the company's website at www.nv5.com. Any redistribution, retransmission or rebroadcast of this call in any way without the expressed written consent of NV5 Holdings, Inc., is strictly prohibited. We will begin the call with commentary from Dickerson Wright, Chairman and CEO of NV5, before turning the call over to Michael Rama, Chief Financial Officer for a review of the first quarter 2015 financial results and 2015 outlook. We will then open the call for your questions. Dickerson, please go ahead.
Dickerson Wright: Thank you, Lauren and good afternoon everyone. Welcome to NV5’s first quarter 2015 conference call. As you saw at the close of the market today, we issued a press release announcing our financial results for the first quarter ended March 31, 2015. We reported very strong first-quarter results with revenues increasing 54%, EBITDA increasing 56% and net income increasing 53% year-over-year. The first quarter results were excellent because the first quarter is historically our weakest performing quarter due to seasonal swings in utilization rates and fewer working days. The uninterrupted increase in revenues and net income we have experienced since our inception is attributable to our commitment to organic growth through performance excellence, operating efficiencies and synergy among our verticals and to steer the growth through accretive acquisitions. At NV5, our greatest asset is our people and the most central component of our business model is empowering those people, the most talented engineers, surveyors, architects, geologists and project managers in the country to become entrepreneurial leaders of the service lines in which they are experts in which I have strong client followings. Our professionals are the face of our company in the field, not administrators. This approach has resulted in larger contracts with longer period of engagement from legacy clients as well as new clients. Our model is working and that is evidenced by our expanded backlog and solid financial performance. I would like to highlight several topics in my prepared remarks today, including contract wins or recent acquisition and enhancement to our management team. Here are just a few of contracts we won in the first quarter and more recently. We announced a $23 million three-year contract win with the California Department of Transportation District 10 in March. The quality of services we provide continues to be recognized by local state and federal transportation agencies and in fact, the roadway extension project we are completing in the city of Oceanside just became the first non-Caltrans project in history to receive an award for value engineering from the Federal Highway Administration. We were also awarded over 7 million in contracts this quarter by natural gas distribution utilities, including a $2.5 million professional service agreement with Xcel Energy that was a result of incisive collaboration between our environmental, services and infrastructure verticals. We also completed work on projects this quarter that garnered national media attention. Joslin, Lesser & Associates, a program management firm we acquired in January served as owner’s project manager for the $78 million state-of-the-art Edward M Kennedy Institute for United States Senate on the UMass Boston campus. JLA is a Boston-based firm with 30 professionals and annualized revenues approaching $10 million. JLA has a prestigious client base and its founder was previously appointed Chief of the Commonwealth of Massachusetts Capital Planning and Operations division by the governor of Massachusetts. Our CQA team in South Florida participated in the largest concrete replacement pour in our history. Nearly 14,000 cubic yards of concrete over three years for 100,000 square foot Panorama Tower project in downtown Miami. Recently in April, we made an acquisition that significantly expanded our program management vertical and greatly strengthened our position with transportation clients in California. Mendoza & Associates is a profitable and well-known construction program management firm with seven offices throughout California and annualized revenues from $12 million to $15 million. The acquisition was made through a combination of cash and notes and will be immediately accretive to NV5’s earnings. The acquisition of Mendoza & Associates was a natural fit because our infrastructure group in Northern California and the Central Valley has been working with Mendoza team for many years and they share NV5’s client-centered and performance-driven culture. We expect to complete additional acquisitions throughout the year and our M&A pipeline is as full as it’s ever been. When we acquire companies such as JLA and Mendoza & Associates, we seek to grow earnings through operational synergies and cross-selling between our existing organization and the newly acquired organization. And we also scale the acquisition’s administration structure into our corporate-shared services model which will contribute and contribute to the company’s bottom line. The in-house financial IT, HR, M&A and legal suite we have in place saves the acquisition from duplicating these costly services and promotes efficiency through scalability. We have ample financial resources to execute additional acquisitions, including an unused $8 million line of credit and approximately $8 million in cash and additional capital that can become available under a self-reservation we filed in August 2014. In conjunction with the organic and strategic growth we experienced in the first quarter, we also made important appointments with our management team for future growth. Todd George was named COO of our civil program management vertical, a service line that we formalized with the acquisition of Mendoza & Associates. Over the past year alone, Todd and his team have won more than 40 million of transportation infrastructure contracts in California and I know with the added support and expertise the staff at Mendoza will provide to us, the civil program in management vertical will continue to grow. We also named Amy Gonzales as business development director of environmental services, a role which will allow her to fully leverage the close client relationships she cultivated as group VP [ph] environmental on behalf of NV5’s entire organization. Under Amy’s leadership, we have already brought about $5 million in revenue to NV5 by self-performing environmental work that we had outsourced to subcontractors in previous years and exploiting synergies between our environmental and infrastructure verticals. We measure synergy closely at NV5 and we have tasked our business development team along with our Chief Synergy Officer Mark Baron to generate additional revenues through cross-selling efforts among our verticals. Finally, we appointed Mary Jo O'Brien, Chief Administrative Officer, a role that more completely encompasses the many critical leadership positions she has held at NV5 as executive vice president and corporate secretary since 2010, including management of the human resources, benefits and IT departments and overseeing the integration process of 12 acquisitions since NV5’s inception. I would now like to turn the call over to Chief Financial Officer Michael Rama for a more detailed overview of the first quarter financials and 2015 outlook. Michael?
Michael Rama: Thanks, Dickerson and good afternoon everyone. First, I will review the company's first quarter 2015 results and then I will provide an outlook for the remainder of 2015. Total gross revenues in the first quarter of 2015 were $29.2 million, a 54% increase compared to gross revenues of $19 million in the first quarter of 2014. Net revenues for the first quarter of 2015 was $22.8 million, an increase of 52% from the first quarter of 2014. The increase was due to organic growth of 11% from our existing platform as well as the contribution from acquisitions closed during the first quarter of 2015. EBITDA for the first quarter of 2015 was $2.4 million, an increase of 56% from the first quarter of last year. Total operating expenses were $11.1 million in the first quarter of 2015 compared to $8.2 million in the same period last year. The increase in operating expenses was due to integration costs from businesses acquired after March 31, 2014. As a percentage of gross revenues, operating expenses were 38.1% in the first quarter compared to 43.1% for the first quarter of 2014. This decrease was the result of the increase in utilization compared to the same period last year and internal focus on performance optimization and the scalability of operations as we integrate new acquisitions. Net income in the first quarter of 2015 was $1.1 million, an increase of 53% compared to net income of $707,000 in the first quarter of 2014. First quarter of 2015 diluted earnings per share was $0.18 versus $0.13 in the first quarter of 2014. Our first quarter 2015 earnings-per-share reflects the weighted average shares outstanding of approximately 6 million shares for the three months ended March 31, 2015 compared to the weighted average shares outstanding of approximately 5.4 million shares for the three months ended March 31, 2014. Our cash flow from operating activities was $1.9 million for the first quarter ended March 31, 2015 compared to $428,000 for the first quarter of 2014. As of March 31, 2015 our cash and cash equivalents were $7.8 million. At March 31, 2015 we reported backlog of $95.7 million compared to $82 million at December 31, 2014, an increase of 17%. Our backlog is an estimate of revenues to be recognized over a rolling 12-month period. Now moving on to our 2015 outlook. During our last earnings call, we initiated 2015 guidance for full-year gross revenues in the range of $124 million to $132 million and diluted earnings per share in the range of $1.01 to $1.09 per share. We are raising our guidance for the full year 2015 gross revenues, recognizing the impact of acquisitions closed through April 30, 2015 which includes Mendoza. We now expect full-year 2015 gross revenues to range from $127 million to $137 million which represents an increase of 17% to 26% from 2014 gross revenues of $108.4 million. We further expect that full-year 2015 diluted earnings per share will range from $1.05 per share to $1.15 per share, representing an increase of 21% to 32% over diluted earnings per share of $0.87 for the full year 2014. We know that this guidance does not include any anticipated acquisitions for the remainder of 2015. This completes our prepared remarks and now we’d like to open the call for your questions.
Operator: [Operator Instructions] Our first question comes from the line of Michael Shlisk with Global Hunter Securities.
Michael Shlisk : Wanted to confirm with you about the organic growth outlook for the current year. Has it changed at all since your last conference call given what we saw in the first quarter, not that far off when you had guided to? I just want to make sure that it has not changed at this point.
Dickerson Wright: We don't see any change other than perhaps a positive change for the organic growth, not certain if we can give an exact percentage now. We will note though the 11% for us was very encouraging in the first quarter, and as you know, this organic growth is not linear, Mike but so our first quarter, we have less working days. We have bad weather and to see that 11% organic growth was very encouraging. So I think we’re comfortable with the guidance we’ve given for the organic growth, if not, we’re little more positive than the guidance – than what we’ve given.
Michael Shlisk : Secondly I just wanted to touch on your M&A activity. I guess just want an update on sort of how you feel about your longer-term M&A and EBITDA goals coming out of 2016. I just want to make sure you are kind of still on track to meet those goals?
Dickerson Wright: The guidance we gave, I think, we’ve challenged our team to be $300 million at the end of 2016 with the margin of 12% to 15% EBITDA. We still feel – we feel enthusiastic about that. Our pipeline is continue to be full, if anything we’re more encouraged with the acquisition opportunities we have in front of us. So we feel comfortable in what we’ve said as far as the future will go. We don’t have the gift of divine prophecy but we certainly feel comfortable with what we see in front of us.
Michael Shlisk : And as a follow up there, could you maybe update us on the valuation levels in the current M&A environment? There has been some lower valuations we’ve seen over the last week or so in some other companies, the two project management and claims. Want to see how you think the market [ph] right now as far as EBITDA multiples.
Dickerson Wright: We’ve historically seen and I don't think I can remember us paying more than a six times trailing EBITDA and we haven't seen -- we certainly haven’t seen any anything significantly above that and on the smaller acquisitions, we tend to pay a lesser multiple than the six times EBITDA. So depending on what the size of the acquisitions that you’ve seen reported, it's been our experience, Mike, that the lower revenue acquisitions that tend to have, especially in project management and those that tend to be more smaller, they tend to have a higher percentage of profitability and therefore we tend to pay a lower EBITDA than the six times and maybe that’s what you’ve been seeing.
Michael Shlisk : If I just squeeze in one more last one here. You had mentioned in the release that there was some adverse weather in the quarter. Could you maybe tell us whether if you have any kind of way you can quantify that impact, one, and then secondly, I guess that might happen every first quarter in lot of the years. Was this year any worse than other years given the harsh weather we often see in the colder months of the year?
Dickerson Wright: Well, Mike, I know that you live in New York and also you may know that, we have a acquisition that we made in Boston and people had – in history there hasn’t been as much snow. I can tell you that we are encouraged with what we are seeing with JLA but certainly they were impacted by the weather and our New Jersey office, because you asked me to be specific, our New Jersey business unit was certainly impacted by the snow and weather that we had. And we were encouraged to see that throughout the rest of the country we had – and as I said I was very pleased with the quarter because I know in the Northeast, we did lose some work days and we had shorter billing periods and that historically the first quarter is our slowest quarter of the year.
Operator: [Operator Instructions] Our next question comes from the line of Jeff Martin with ROTH Capital Partners.
Jeff Martin : Could you comment on RFP activity that you're seeing across your verticals, please?
Dickerson Wright: Request for proposal, yes. We have been very active. I think Jeff, you know that we are a seller doer organization. So we don't have – and put into our own -- we don't have really full time –p- many full-time dedicated marketing people but I can tell you in every vertical and I knock on wood which is my head right now but we see a significant increase in the amount of proposals that we’re going after. And in fact, we are tending to be a little bit more selective because on the bigger proposals we have a go, no go decision where we decide what our chances of winning in going after and usually we have to have a – if we want to quantify that with a percentage, we have to have a significant surety that we have a very good chance of winning -- winning the proposal but we're seeing much more activity in the public arena. We've seen some switch in the southeast in Miami where we had a tremendous amount of continuity in residential construction. We are now seeing some increases in the public sector and I think we haven't announced anything publicly about some wins. So I will reserve comment on what we see in the Southeast as far as the public activity. But overall throughout the country we have seen an increase in the amount of RFPs.
Jeff Martin : Could you help us break down the backlog increase you had -- the Joslin, Lesser came in the quarter – I assume the backlog is as of March 31, so Mendoza is not included in that? If you could maybe just give us what the contribution to the backlog increase out of Joslin, Lesser was, that’d be helpful?
Dickerson Wright: I will defer to Mike, on that, Mike, if we’ve distilled that down that closely, but you can --
Michael Rama: Yes, hi Jeff. The backlog as of March 31 included backlog from JLA of about $6 million. So the rest was organic wins and organic growth.
Jeff Martin : And then could you help – I think it’s be helpful to remind everybody what seasonality for the balance of the year is? Obviously the first quarter is your most impacted, I think the second and third or the least impacted in the fourth is – impacted as well? How people should think about that --
Dickerson Wright: Yes, I would look at our busiest months are the second and third quarter where we anticipate increases in revenue and hopefully we budgeted for that and are prepared for it. And then the fourth quarter is impacted again by significant holidays and starting to have some in our northern areas, some weather impact. So if I was to look at each quarter, first quarter has historically been our weakest, second and third quarter our strongest as far as revenue generation and then fourth quarter is our second weakest or third strongest. However if you'd like to look at that and a lot of that is holidays and things where we don’t build.
Jeff Martin : And then Mike, could you understand some of the shift going on in the model in terms of operating expense and net revenue as a percentage of gross revenue, because that’s moving around quite a bit on a quarterly basis, it’s obviously impacted by acquisitions. But is there anything other than acquisitions affecting us, for example, your operating expense was only 30.2% in Q4, was up to 38.1% in Q1, some of that’s probably seasonality but it’s trending down year-over-year but the JLA affected quite a bit, that affects your margin profile favorably for net revenue?
Michael Rama: Yes, Jeff, JLA definitely contributed that because they were in our numbers for the first quarter this year for two months. So we had some of their operating expenses and their cost of doing business as well as I don’t know if you remember last year we acquired AK at the end of the quarter Q1. So we really are seeing a big comparison with AK being in the first quarter 2015 for the full quarter as opposed to a very small portion of 2014’s first quarter.
Jeff Martin : And then any consideration in providing EBITDA guidance as well in the future?
Michael Rama: Sure, yes, we will look at. Yes I think it’s a meaningful metric because that’s why we started introducing it this quarter. We thought it was both meaningful on a comparability basis. End of Q&A
Operator: [Operator Instructions] Ladies and gentlemen there are no further questions at this time. I would now like to turn the floor back over to management for closing remarks.
Dickerson Wright: Well, thank you operator. Thanks again to everyone for participating in the NV5’s first quarter conference call. As you can tell by our comments, we are very enthusiastic and optimistic about the growth opportunities that we have in front of us .And we're also very proud of our team, our people and what we’ve achieved so far this year for our clients and our shareholders .So I look forward to speaking to everyone, Mike and I and the whole NV5 team looks forward to speaking to everyone again and we will speak of course the next quarter. So thank you everyone for participation in today's call.
Operator: Thank you ladies and gentlemen. This does conclude our teleconference for today. You may now disconnect your lines at this time. Thank you for your participation and have a wonderful day.